Operator: I would like to welcome everyone to the Simmons First third quarter earnings conference call. (Operator Instructions) David Garner, you may begin your conference.
David Garner: David Garner, Investor Relations Officer of Simmons First National Corporation. We want to welcome you to our third quarter earnings teleconference and webcast. Joining me today are Tommy May, Chief Executive Officer, David Bartlett, Chief Operating Officer and Bob Fehlman, our Chief Financial Officer. The purpose of this call is to discuss the information and data provided by the company in our quarterly earnings release issued this morning. We will begin our discussion with prepared comments and then we’ll entertain questions. We have invited the analysts from the investment firm that provide research on our company to participate in the question and answer session. All other guests on this conference call are on a listen only mode. I would remind you of the special cautionary notice regarding forward-looking statements and that certain matters discussed in this presentation may constitute forward-looking statements and may involve certain known and unknown risks, uncertainties and other factors which may cause actual results to be materially different from our current expectations, performance or achievements. Additional information concerning these factors can be found in the closing paragraph of our press release and in our Form 10-K. With that said, I’ll turn the call over to Tommy May.
Thomas May: Welcome everyone to our third quarter conference call. In our press release issued earlier today, Simmons First reported record third quarter 2009 earnings of $7.7 million or $0.54 diluted EPS compared to $0.46 diluted EPS in Q3 2008 which is an increase of 17.4%. The earnings increase was primarily driven by improvement in non interest income and net interest margin. We will discuss these items in more detail in a moment. For the nine month period ended September 30, 2009 net income was $18.4 million or $.130 diluted earnings per share compared to $21.3 million or $1.51 per share for the same period in 2008. It is important to note that the EPS decrease of $0.21 is primarily attributable to $0.18 of previously discussed non recurring items that were related to the Visa Inc. IPO in Q2 2008 and the $0.06 impact of the industry wide special assessment by the FDIC in Q2, 2009. Normalizing for these items our nine month EPS increased by $0.03. On September 30, 2009 total assets were $2.9 billion and stockholders equity was $298 million. Our equity to asset ratio was a strong 10.2% and our tangible common equity ratio was 8.3%. The regulatory tier one capital ratio was 13.9% and the total risk based capital ratio was 15.1%. Most of the these regulatory ratios remain significantly above the well capitalized levels of 6% and 10% respectively and rank in the 80th percentile or better in our peer group. Obviously our company remains well positioned with strong capital. However, since the national economy remains under stress, we continue to focus on building our capital base. Likewise, we continue to believe that there will be some acquisition opportunities over the next 24 month period. Thus, having excess capital will allow us to take advantage of those opportunities. Net interest income for Q3 ’09 increased $1 million or 4.3% compared to Q3 ’08. Net interest margin for Q3 ’09 increased 13 basis points to 3.97% when compared to the same period last year. We are very pleased with the increase in our margins which is primarily driven by the decrease in cost of funds. We continue to see more rational competitive pricing on the deposits and loans. Looking forward to the remainder of the year, we expect flat to slight margin improvement. Non interest income for Q3 was $15 million, an increase of $3.7 million or 32.6% compared to the same period last year. Let me take a few minutes to discuss the items that positively impacted our non interest income. First is the premium on the sale of student loans increased by $2 million which is actually a timing issue as we have previously discussed. During Q3, 2009 we sold the remaining loans originated during the 2008/2009 school year. We continue to originate loans for the 2009/2010 school year which we will sell during Q3 2010. Pending legislation would serve to eliminate the private sector from the student loan origination business. We will continue to evaluate both the profitability and the viability of this strategic business unit as we go forward. Currently there remain too many uncertainties concerning the roles of government, the secondary market and the private sector to make long term decisions. Service charges on deposit accounts represent the second item. They increased by $754,000 in Q3 ’09 compared to Q3 ’08, and this was due primarily to an improvement in our fee structure and core deposit growth. The third item, income on the sale of mortgage loans increased by $203,000 or 34.1% compared to last year. This improvement was primarily due to lower mortgage rates leading to a significant increase in residential refinancing volume. Our Q3 mortgage production volume was $40 million, 50% more than the same period last year. Obviously like the rest of the industry, the largest increase comes from re-fi’s. The fourth and final item was income from investment banking. It increased by $467,000 compared to last year. This improvement was primarily due to a volume driven revenue increase in our dealer bank operations. Non interest income was negatively impacted by a decrease in trust income of some $247,000 or 15.4% in Q3 ’09 compared to the same period last year. Generally, trust fees are based on the market value of customer accounts. Because of depressed market values and declines in the overall stock market when compared to Q3 ’08, trust fees declined accordingly. Moving on to the expense category, non interest expense for Q3 ’09 was $26.3 million which is an increase of $.19 million or 7.6% from the same period in 2008. This includes a $600,000 increase in deposit insurance. Excluding the impact of the FDIC assessment, non interest expense increased by a respectable 5.3%. Even the 5.3% increase is higher than our normal run rate. Thus, let me take a minute to discuss several items. First would be other real estate and foreclosures. This expense increased by $100,000 as we continued to aggressively liquidate non performing assets. The second item would be marketing expense which increased by $210,000. Most of this increase was in the area of advertising and donations and much of the increase is timing related. Our overall marketing expense remains within our budget guidelines. The third item would be credit card expense which increased by $98,000 as a result of increased transaction volume which we view as very positive. The fourth item, professional fees increased by $320,000. During Q3 ’09 we had three expenses that were related to proactive initiatives for our corporation. First we spent legal fees associated with the CPP approval process which we subsequently opted not to participate in. And the filing of our $175 million shelf registration. The shelf registration will enable us to access the equity market faster and more efficiently if the need or opportunity presents itself. Secondly, as a part of our M&A strategic initiatives, we contracted with a consultant to help us prepare for perpetual opportunities related to FDIC assisted transactions. Lastly, during Q3, we began to expense costs associated with our ongoing efficiency project which will product expense savings and revenue enhancement in 2010 and beyond. The remainder of the increase in non interest expense is our normal modest 2.5% growth. Let me move to our loan portfolio. As of September 30, 2009 we reported total loans of $1.9 billion, a decrease of $11.2 million or six tenths of one percent compared to the same period a year ago. Our consumer loan portfolio actually increased $22.8 million or 5.7% driven primarily by $12.6 million increase in credit cards. The real estate loan portfolio decreased by $9.4 million with a migration from C&D to the CRE and one to four family portfolios due to permanent financing of completed projects. Considering the challenges in the economy, it is important to continue to point out that we have no significant concentrations in our portfolio mix. Our construction and development loans represent only 10% of the total portfolio. CRE loans excluding C&D represent 31% of our loan portfolio, both of which compare very favorably to our peers. Lastly, as previously mentioned, we have no sub prime assets in either the loan or the investment portfolios. Like the rest of our industry, our own pipeline remains very soft. As a matter of information, we sold approximately $74 million of our student loans in the third quarter and we anticipate funding an additional $10 million through our normal funding process during Q4 ’09. Now let me give a brief update on credit cards. We continue to see an increase in the number of net new accounts. During the first nine months of 2009 we added nearly 18,000 net new accounts compared to 4,000 during the same period last year. Let me remind you that we have not changed our underwriting standards as reflected in our approval rate of approximately 16%. As such, we believe the increase in applications represents a movement from some of the larger credit card companies that have become much more aggressive in their interest rate fee structure and lower credit limits. Although the general state of the national economy remains somewhat unsettled, and despite the challenges in the Northwest Arkansas region, we continue to have relatively good asset quality. At September 30, 2009 the allowance for loan losses equaled 1.34% of total loans and 135% of non performing loans. Non performing assets as a percent of total assets were 86 basis points. Non performing loans as a percent of total loans were 99 basis points. These ratios compare very favorably to the industry, relatively flat from the prior quarter and remain affected by student loans. Now let me explain. With the turbulence in the secondary market and because the government program only purchases current year production, we are required to service loans that have converted to a payout basis. Historically, those student loans would have been sold in the secondary market and would never have hit the past dues. Under existing rules, the Department of Education will not purchase the pay out loans until they have exceeded a 270 day past due status. As such, while they remain fully guaranteed, they will impact our non performing asset ratio. With that said, these ratios include approximately $2.3 million of government guaranteed student loans over 90 days past due. When these loans exceed 270 days past due, the Department of Education will purchase them at 97% of principal and accrued interest. Excluding these past due loans, the allowance for loan losses to non performing loans was 153%. Non performing assets as a percent of total assets were 79 basis points and non performing loans as a percent of total loans were 88 basis points. As you can see, we continue to enjoy good asset quality. In fact, our non performing loan and asset ratios rank us in the 90th percentile within our peer group. The annualized net charge off ratio for Q3 ’09 was 40 basis points, down four basis points when compared to the second quarter. Excluding credit cards, the annualized net charge off ratio was 19 basis points compared to 22 for the second quarter. We remain aggressive in the identification, quantification and resolution of problem loans. The credit card industry continues to see pressure relative to the past dues and charge offs. However, our portfolio continues to compare very favorably to the industry. As our Q3 ’09 annualized net credit card charge offs to total loans decreased to 2.58% compared to 2.83% during the previous quarter, and is now almost 900 basis points below the most recently published credit card charge off industry average of 11.5%. One of the real strengths that we have in our credit card portfolio is our geographic diversification with no concentrations in any state other than Arkansas where we have approximately 40% of our portfolio. We are very conscious of the potential problems associated with a high level of unemployment and we continue to reserve accordingly. We are currently reserving at a level of 3% for our credit card portfolio. During Q3 ’09, the provision for loan losses was $2.8 million, an increase of $575,000 from the same quarter in 2008. The increase is primarily the result of additional provisions for credit card portfolio. Bottom line, quarter over quarter we experienced margin expansion of 13 basis points, increased provision expense for credit cards with good asset quality corporate wide compared to the industry, a continuation of relatively low credit card charge offs of 2.58%, exceptional non interest income growth of 32.6% or 14.4% when normalized for the premiums on the sale of student loans. normalized non interest expense growth of 5.3% and most importantly, strong capital with an 8.3% tangible common equity ratio. Like the rest of the industry we expect the remainder of 2009 to be a challenge relative to meeting our normal growth expectations. However, Simmons First is well positioned based on the strength of our capital, asset quality and liquidity to deal with the challenges and opportunities that we face for the remainder of the year. Our conservative culture has enabled us to engage in banking for 106 years. We consistently rank in the upper quartile of our national peer group relative to capital asset quality and liquidity. There has never been a greater time to have these strengths. We continue to believe that the Arkansas economy will better sustain the economic challenges because as primarily a rural state, we have not and likely will not experience the same highs and lows that will challenge much of our nation. However, we will not be lulled to sleep since there is always some concern relative to a lag effect occurring in a major economic downturn. We remind our listeners that Simmons First experiences seasonality in our quarterly earnings due to our agricultural lending, student loan and credit card portfolios and quarterly estimates should always reflect this seasonality. This concludes our prepared comments and we would now like to open the phone line for questions from our analysts.
Operator: (Operator Instructions) Your first question comes from Matt Olney, Stephens, Inc.
Matt Olney, Stephens, Inc.: With what you’re seeing on the past due trends, it sounds like you still expect charge offs to be south of the 3% range near term, is that fair?
Thomas May: I think that’s exactly right. I think looking at the past dues and looking at the migration that we have seen, our past due trends are still very good. Past dues less than 90 days on the credit cards are at a level of about 1.3%, 1.4%. The charge off ratio this quarter was actually down. If I remember correctly Q2 was at about 2.75% and the numbers were down close to 2.57%, 2.58% on this quarter. So when you take the happenings of the last quarter and you couple that with the past due trend, we feel like we hope to continue to see that level. As you know, we are continuing to reserve at a 3% level though.
Matt Olney, Stephens, Inc.: Charge off below 15% for credit cards is impressive so congrats on that. In your prepared remarks I believe you mentioned something about an expense initiative. I’m not sure if I caught that right or not, but could you give us more details on that?
Thomas May: We did. And what we basically said is as we go back actually the latter part of 2007 when we started projecting out our three year strategic plan, there’s several things that we were looking at. Obviously we were looking at turbulent waters in front of us relative to our pipeline and we also were looking at our efficiency ratio. We felt that this would be an opportune time for us to begin to do some work in that particular area. As you well know the efficiency ratio has been impacted at least to some degree by the number of locations that we have compared to our relative size. Likewise, it has been impacted by the model that we have of the company and the acquisitions that we have done since 1995. So what we did is we brought in two different groups to help us look at the way we were doing business; one basically is called our process initiatives. In other words, the way we’re actually doing business. Are there some ways that we can do it better that will be more efficient to both the customer, our associates and to the bottom line? Those process initiatives we have been working on throughout the later part of 2008 and so far in 2009 and we have seen some fairly significant expense savings from those that you already see in the statement. Some of that is still working its way through. The second piece of that that we have been working on is that we brought in a consultant that helped us look at some of the contracts that we have had over a period of years and help us better understand how we can possibly renegotiate those contracts and get more bang for our buck. And that has been primarily in the back office area. So we’re very pleased with what we’re doing there and so that’s where we are. We obviously haven’t quantified in our discussions what some of those initiatives are going to generate as far as expense savings or revenue production. And the reason that we have not quantified them at this point in time is that much of that is still in process. Much of the work that is being done both with the consultant and with our management teams are still being determined and some of it will come about in 2010 and some will come about in 2011. As we get to the point of putting forth the execution of that and being able to quantify that, we will be discussing those in our meetings.
Matt Olney, Stephens, Inc.: It sounds like the true run rate of potential cost saves we may not see for several quarters and maybe even into 2011. Is that fair to say?
Thomas May: I think that is very accurate. Bob, you want to add to that?
Robert Fehlman: No, I think you summed it up very well Mr. May, but I would just say the first as he was talking about on the contracts, that was more using our corporate purchasing power even though we operate eight separate banks, is using it as corporate purchasing power and then the process improvement, we’ve been in that process for the last few months. That’s the part that will take us time to implement. We’ve got a lot of findings that we’re working through and the best way to implement those. So that part will be 2010 through 2011 before we start realizing some of the benefits. But we do have some of the expense for the consultant services that we will be expensing over the quarters coming up.
Matt Olney, Stephens, Inc.: I don’t know if David Bartlett is there, but if he is could we hear some details about some of the performance of charters in Arkansas and maybe specifically the Northwest Arkansas operation and the exposure in that market.
Thomas May: David is not able to be here today. He’s attending a Board meeting of one of our affiliates which is one of our scheduled meetings so let me see if I can take a shot at it. I think from a regional standpoint, we’ll save Northwest Arkansas for last. I think we’re very pleased with the performance that we’ve seen from all the regions of Arkansas both from the standpoint of how the economies are doing in those particular regions relative to the national economy, but also based on how our particular banks are doing in those areas. Southeast Arkansas, Northeast Arkansas and the central part of the state on the eastern side, we have Agra Lending and those institutions have done very well performance wise over the last two or three years and they’re going to continue to well this year even though the Agra side is a little more challenged right now than it was six weeks ago. Six weeks ago I think everybody would have said we’ve had huge bumper crops. The farmers are going to have a profit year like we’ve not had in a long time. The rain has continued to fall and has created a problem relative to completing the growing season in certain areas and harvesting. I think that what we’re seeing, and that will affect three of our institutions; the Leed Bank, the bank in Jonesboro and the bank in Lake Village. I think what we’re now seeing is that we’re looking at clear skies for the next week or so. We think that it will go a long way toward harvesting and if you look at the rice and beans which are probably now the dominant crops in all three regions, while the yield will be affected a little bit, the quality will be affected a little bit. The price is high and the input cost is low. So while we’re not going to get what the farmers had all hoped for, and the bankers and the bumper crop, we’re still going to have, we’re very hopeful to have a crop similar to what we did last year and the farmers last year had a very low level of carry over. So despite there are some challenges there. We think it’s still going to be a year like last year and the performance of all three of those regions and our banks in those regions are very good. I would say the same thing is true in the other banks that we have in South Central Arkansas and in the Central Arkansas area, Searcy and Hot Springs. All the performance levels are good. Some challenges, but still doing well. Northwest Arkansas we’ll save the biggest challenged area for last. I guess the best way I could summarize that would be to say that it’s sort of like the national economy where we’ve been talking about bottoming of a recession and a recovery. I think in Northwest Arkansas we’re seeing some light at the end of the tunnel. I’m not sure everything has bottomed yet, but the big question will be once it does bottom, then how long will it take to finish or get the absorption where it needs to be and start the growth cycle back. I think we’re feeling a little bit better in Northwest Arkansas as far as the region, but it’s still probably 18 to 24 months out. I think as far as our institution there, again it’s a well capitalized bank, exceptional management team there. They’re dealing with the challenges proactively and that’s exactly what we would want them to do.
Operator: Your next question comes from [Derick Hewitt – KBW]
[Derick Hewitt – KBW]: Could you talk a little bit about your gross impaired loans? I know you don’t provide a watch list, but we kind of use that as our watch list. Where do you see, when do you see gross impaired loans stabilizing. I know if you look at it quarter over quarter, last quarter it increased about 50%.
Thomas May: Let me tell you that I truly believe that when you look at the report and you look at it from a historical perspective, it probably doesn’t tell the whole story. And by that what I’m saying, we all, the banks have been working through FAS 114 and 5 and as we have worked through 114 and 5 and the reclassifications that go with all that, we probably over the last 18 to 24 months are just getting the call reports right. So where it’s showing a whole lot of growth, it’s probably a little bit artificial. In other words, we didn’t get those recorded like we probably should have as soon as we probably should have. I would tell you, I think it’s been pointed out that when you look at the total level of those particular loans that they still are below the peer and we obviously have analyzed each one of those and we feel that we’re very comfortable with those.
[Derick Hewitt – KBW]: I know it’s a little early for…
Thomas May: Let me hold you just a second. Bob, do you want to add anything to that?
Robert Fehlman: What I would say also is that it’s really as Mr. May was saying more a change in the methodology and getting it to where we need it to be. There’s been no change in asset quality. It’s not really a change there, but it’s more getting a little bit more in line with the five and 114 and we’re a little slow with our eight banks, all of the coming up to be under the FAS 5 and 114.
[Derick Hewitt – KBW]: I know it’s a little early to ask for call report data, but do you currently have updated TDR’s? I believe it was roughly about $7.7 million last quarter. Or if you don’t have the information currently available do you have estimates?
Thomas May: The troubled debt restructure, I don’t think we have that number right now but I don’t believe we’re expecting much of a change from prior quarter. Again, I don’t believe that number. It is not finished yet. We’re still in process on that number. I’m not aware of any additions to that.
[Derick Hewitt – KBW]: Could you talk a little bit about the increasing yield on the securities portfolio?
Thomas May: Probably the yield most represents again a reclassification. For a period of time, we had a significant amount of our excess liquidity, $100 million of our liquidity I should say, not all excess that was put into the AIM fund. We had moved it out of the Federal Reserve into the AIM fund. And that particular AIM fund was giving us a yield of a few basis points higher than we otherwise would have gotten. The AIM fund is classified in the securities portfolio so basically it was pulling down the yield, and you can see that yield. If you look at Q1 and then you look at Q2 and that difference there, and I don’t have the basis points in front of me, but it’s fairly significant. That is primarily driven by the AIM fund. And then we began to look at the Federal Reserve and what the Federal Reserve was paying, and I’m looking at investment securities now. If you look at March of ’09 we were at about a 428 investment yield dropping to 371 in Q2 ’09 and then back up to 421 in Q3 ’09. Again the movement into the AIM fund put it into securities portfolio. The basis points that we were getting there at the time was a little bit more than 17 basis points now I think when we pulled it out. When we put it in, it was a little bit more than that. But recently it’s been about 17 basis points and then we could get Federal Reserve we could get 25 basis points. And again, we were running anywhere from $60 million to $100 million in there before deciding exactly where we were going to place it. So we took it then out of the AIM fund and put it into the Federal Reserve where we got probably a seven or eight basis point pick up and that’s what you see here.
Robert Fehlman: If you normalize that June for that AIM fund that will put it at about a 425 yield for securities which is pretty much in line.
Thomas May: Just for information purposes, as you know we’re a multi-bank holding company and we have some State Charters and we have some National Charters. And the State Charters obviously did not have access into the Fed so what we simply did was we consolidated all of that and it’s being invested through Simmons First National Bank.
[Derick Hewitt – KBW]: In last quarter’s 10-Q you mentioned that you had roughly $930 million of CD’s of which about 89% were going to be re-pricing within the year. How far are we through that process right now?
Thomas May: I’m going to probably guess probably 40% to 50% through the re-pricing process for the end of the year, if that’s what you’re asking. Let me just say this, if you look at our margin and you look at our margin improvement of 13 basis points that you’ll see the bulk of that margin improvement came from the cost of funds side. So we have done a relatively good job of re-pricing those deposits even to the point that we have been willing to accept some shrinking of the balance sheet. The challenge we have found is that they’re not willing to leave. There is a safe haven issue right now and a lot of depositors are just simply keeping those dollars there. So we probably see a few more opportunities as we continue to look at re-pricing. The rates where we are right now seem to be very competitive in the market. There does not seem to be any irrational pricing in the market, but we do believe there will be some basis point pick up as we continue to price whatever is left over between now and the end of the year. I think we’re showing right now the next 90 days on the CD side we have about $308 million, so when I told you we’re probably 50% of that had been processed, it’s probably more like 60% or 70% has already been re-priced.
Robert Fehlman: Also, our CD rates, our term deposits on a linked quarter basis improved 29 basis points. A lot of that was the benefit of our margin going up and if you look at the balances on a linked quarter basis, you know our time deposits dropped by maybe about $18 million to $19 million, and part of that as Mr. May said was by design to lower the cost of funds and we reaped the benefit of that in our margin.
[Derick Hewitt – KBW]: Going to the margin, maybe in a normalized environment who knows when that’s going to be, maybe two to five years out. Where do you think you’ll end up just roughly?
Robert Fehlman: We’d like to know that answer also. I would tell you that over the last three months as we’ve improved this quarter over last quarter, we saw July, August and September each month improving by about five to seven basis points. We think one, we’re obviously getting close to the bottom of the cost of funds side as the earning asset side goes up, we believe we’ll be able to benefit on that side. Our target has always been over the 4% level, but with the squeeze and the compression on in the industry, the higher likelihood is it’s going to be between the 3.74% and the 4$ level on a go forward basis. It’s hard to judge where the industry is going to fall out when rates start rising and competition and liquidity changes and all of that, but that would what I would guess right now.
Thomas May: I think that’s a very good question and what I will say that we’ve been having that debate amongst ourselves and number one trying to define normal. Number two is trying to figure out when this interest rate movement starts. Obviously the big question of how fast and how far the depth and breadth of it, and probably that’s the one issue more than anything else. We can model this and we can make some reasonably good guestimates during normal times, but getting from where we are to those normal times, trying to make those projections for our model becomes very, very difficult. I think that we all agree that we’re not going to see margins maybe ever again like we have seen in the past, but we’re certainly still hopeful that we would see them a little bit north of four, but we think it’s going to be a challenge getting there for the industry.
Robert Fehlman: I’d also point out our seasonality. When you’re modeling the first quarter, there’s a significant drop in the margin because of our seasonality with Agra loans paying off and credit cards dropping and so forth. So it’s hard to look at us on a linked quarter basis on margin when you get into seasonality. So it’s very critical in that first quarter.
Thomas May: The last time we were at the four level I guess was in January ’08 and it was one little bump.
Operator: There are no further questions at this time. I’ll turn the call back over to the presenters.
Thomas May: Thank all of you for being here and we look forward to next quarter. Have a great day.